Operator: Good morning, and welcome to Bitcoin Depot's Fourth Quarter 2023 Conference Call. My name is Jericho and I will be your operator today. For this call, Bitcoin Depot issued its financial results for the fourth quarter and full year ended December 31, 2023 in a press release. A copy of which will be furnished in a report on Form 8-K filed with SEC and will be available in the investor relations section of the company's website. Joining us on today's call are Bitcoin Depot's CEO, Brandon Mintz; CFO, Glen Leibowitz; and COO, Scott Buchanan. Following their remarks, we will open the call for questions. Before we begin, Alex Kovtun from Gateway Group will make a brief introductory statement. Mr. Kovtun, please proceed.
Alex Kovtun: Great. Thank you, operator. Good morning, everyone, and welcome to Bitcoin Depot's fourth quarter 2023 conference call. Before management begins their formal remarks, we would like to remind everyone that some statements we're making today may be considered forward-looking statements under securities laws and involve a number of risks and uncertainties. As a result, we caution you that there are a number of factors, many of which are beyond our control, which could cause actual results and events to differ materially from those described in the forward-looking statements. For more detailed risks, uncertainties, and assumptions relating to our forward-looking statements, please see the disclosures in our earnings release and public filing made with the Securities and Exchange Commission. We disclaim any obligation or any undertaking to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made, except as required by law. We will also discuss non-GAAP financial metrics and encourage you to read our disclosures and the reconciliation tables to applicable GAAP measures in our earnings release carefully as you consider these metrics. We refer you to our filings with the Securities and Exchange Commission for detailed disclosures and descriptions of our business, as well as uncertainties and other variable circumstances, including but not limited to risks and uncertainties identified on the caption risk factors in our recent filings. You may get Bitcoin Depot’s Securities and Exchange Commission filings for free by visiting the SEC website at www.sec.gov. I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Invest Relations section of Bitcoin Depot's website. A supplemental earnings presentation highlighting our Q4 performance has also been made available on our IR website. Now, I will turn the call over to Bitcoin Depot's CEO, Brandon Mintz. Brandon?
Brandon Mintz: Thanks, Alex, and good morning, everyone. Thank you for joining our fourth quarter 2023 conference call. We're excited to share with you the progress we've made since our last quarterly update, our accomplishments during 2023, and our growth strategy for 2024. Let's start with our financial performance for 2023. We grew revenue 7% year-over-year to $689 million as we continue to fortify our industry-leading position with sustained strength in customer traffic and transaction volume. We also remain focused on driving profitability and deliver a 38% year-over-year increase in adjusted EBITDA, which demonstrates the continued strength of our business model as we scale. Importantly, this significant EBITDA growth was delivered even as the company had not placed a bulk order for additional kiosks since 2021. This adjusted EBITDA was achieved while operating with a reduced number of active kiosks in 2023 compared to 2022 and improving our margins. Throughout the year we continued to execute our strategic priorities while supporting our mission to safely, securely, and efficiently bring Bitcoin to the masses. These priorities included expanding and improving our retail operations, updating our digital platforms and go-to-market strategy, refining our customer experiences, and enhancing our overall value proposition in the marketplace to both customers and retailers. We're pleased to say that we delivered on all of those objectives in 2023 and are entering 2024 with significant momentum and a strong foundation for future growth. Throughout 2023, we continued to expand the number of Bitcoin access points through BDCheckout across North America, while optimizing our kiosk footprint by relocating underperforming kiosks to more profitable locations. During 2023, we signed several new agreements with convenience store brands spanning across several states and increased our fleet of deployed kiosks. These include FastLane, Gas Express, High’s, Majors Management, Stinker Stores, GetGo Café + Market, and Jacksons Food Store. We also expanded our BDCheckout program, which is our no hardware Bitcoin purchase solution for our users, to three additional states in over 725 additional locations across a variety of convenience store partners through our payment processing partner, which has a nationwide retail network of over 90,000 locations. We launched BDCheckout in 2022 to facilitate a convenient way for users of the Bitcoin Depot mobile app to purchase Bitcoin with cash at the cash register and we look to expand this program going forward. The BDCheckout expansion demonstrates our sustained operational momentum in bringing Bitcoin's accessibility to more states without needing to deploy physical kiosks, while continuing to serve as the benchmark for innovation and service for our customers through this program. We also maintained our industry-leading market share with our kiosks and see opportunities for accelerated market share growth due to the reduction of BTMs operating in the US. After a successful 2023, I'm pleased to say that we are carrying this momentum into the early part of 2024. During the first quarter, we ordered 900 kiosks as part of our plan to have roughly 8,000 kiosks installed by the end of 2024, the largest installed fleet of Bitcoin ATMs in our history. To support this goal, we continue to focus on growing our BTM network and building a robust pipeline of major regional and national retail partners. First, we announced the expansion of our sales team with the hiring of 13 new sales representatives in Q1 2024. This expanded sale force is anticipated to secure over 100 new Bitcoin Depot kiosk locations on a monthly basis once they are ramped up. Second, we secured a mass replacement agreement with a national convenience store retailer in January to install nearly 1,000 Bitcoin Depot kiosks in convenience stores across 24 states. The initial rollout is part of a larger initiative with the opportunity to grow into additional stores. This is the second largest BTM placement deal in our company's history and reinforces our leading position in the market. We also recently announced the sale of 50 new BTMs to Sopris Capital as part of our franchise program which we launched in 2023. The franchise program is designed to provide additional deployment opportunities to qualified partners as part of our North American expansion strategy. Our franchise partners benefit from Bitcoin Depot's expertise and operating BTMs and integration with Bitaccess software, the premier software suite for Bitcoin ATM operations. Today we have over 100 franchise-owned BTMs operating on our platform, and over 7,300 kiosks installed in location across North America. In summary, we remain encouraged by the trends we're seeing across our business, and are well positioned to continue the momentum so far in 2024 as we firmly establish the foundation for future growth, increased scale, and profitability. We're excited about the numerous growth opportunities ahead and are well positioned to support mass crypto adoption as the world's leading Bitcoin ATM network. Now, I'll turn the floor over to our CFO, Glen Leibowitz, who will provide more in-depth insights into our financial performance and business outlook. Glen?
Glen Leibowitz: Thanks, Brandon, and good morning, everyone. I'll start with a detailed review of our fourth quarter and full year 2023 results, and we'll finish with a discussion on guidance. Fourth quarter revenue declined approximately 1% year-over-year to $148.4 million compared to $149.7 million for the last year's fourth quarter. This decline was largely driven by a smaller fleet of deployed kiosks in operation compared to Q4 2022 as we continue our focus on optimizing our fleet for maximum profitability. The full year revenue increased 7% to $688.9 million compared to $646.8 million in the prior year. Gross profit for the fourth quarter of 2023 increased 22.3% to $17.9 million compared to $14.6 million for the fourth quarter of 2022. Gross margin in the fourth quarter of 2023 was 12.1% compared to 9.8% in the fourth quarter of 2022. For the full year gross profit increased 64.1% to $87.8 million and gross margin increased over 440 basis points to 12.7%. This margin growth is largely driven by our kiosk relocation efforts, which allows us to reduce fixed retail space rental costs, while maximizing revenue per kiosk. Total operating expenses for the fourth quarter of 2023 were $17 million compared to $14.8 million for last year's fourth quarter. On a sequential basis, our operating expenses declined 13% from the third quarter of 2023. This improvement was attributable to lower professional services expenses, and we anticipate that trend will continue as we move further away from the [DSPAC] (ph) transaction. For the full year, operating expenses were $69.8 million and compared to $55.8 million in the prior year. We expect that operating expenses will decline in 2024 as we move away from the DSPAC process and optimize our expenses for life as a public company. GAAP net loss for the fourth quarter of 2023 was $1.5 million compared to net loss of $527,000 for the fourth quarter of 2022. For the full year GAAP net income was $1.6 million compared to GAAP net income of $3.5 million in the prior year. This decline in net income was driven by the DSPAC cost incurred in 2023, which we don't expect to incur in the future. Adjusted EBITDA, a non-GAAP measure for the fourth quarter of 2023 was $9 million compared to an adjusted EBITDA of $11.4 million for the fourth quarter of 2022. For the full year, adjusted EBITDA increased 37% to $56.4 million compared to $41.2 million in the prior year. Adjusted EBITDA margin, which is derived from adjusted EBITDA divided by revenue in the fourth quarter of 2023 was 6.1% compared to 7.6% margin in the fourth quarter of 2022. For full year, adjusted EBITDA was 8.2% compared to 6.4% in the prior year. Lastly on our balance sheet, we ended the fourth quarter with approximately $26.4 million in cash and cash equivalents and $30.7 million in debt. During 2023, Bitcoin Depot refinanced its term loan facility and continued to pay down its finance leases. We purchased 120,644 shares in the fourth quarter under the stock repurchase plan. Now turning to our financial outlook, but first, I think it's helpful to provide the following market backdrop. So far in the first quarter, we've deployed over 1,000 kiosks, representing almost 14% of our installed base. While this type of expansion is key to our growth, the magnitude of new machines going into the market in a short amount of time is unprecedented for our company. As those kiosks begin to establish a customer base, we expect to see revenue growth from our kiosk footprint over time. So to be more prudent, we are providing an outlook on a quarterly basis until these machines mature. Having said that, and based on current market conditions, we expect revenue in the first quarter to remain between $137 million and $138 million. This decline relative to both the fourth quarter of 2023 and the first quarter of 2023 as long were driven by two factors. First, as mentioned previously, we were operating less kiosks to start 2024 than we were in the fourth quarter of 2023 and the first quarter of 2023 as we continue to focus on relocations of underperforming kiosks. Secondly, the unfavorable legislation that was passed in California, which went into effect in January of this year has had a material impact on revenue during the quarter. We are actively engaged in California with their legislature and continue to see constructive changes to the operational limitations that are currently in place in the state. However, our focus remains to drive revenue growth for 2024. Adjusted EBITDA for Q1 2024 is expected to range between $5 million and $6 million. This lower adjusted EBITDA level is driven largely by the deployment of over 1,000 kiosks in the quarter. These kiosk deployments have significant initial logistic costs and will incur rent to the retailers while we wait for the corresponding revenue to grow. As mentioned, these deployments do not come with an immediate revenue or EBITDA improvement, but they are expected to drive growth later in 2024 and in future years. For the remainder of 2024, we expect to follow a similar seasonality trend as we have described previously, with Q2 and Q3 being significantly higher revenue than what we see in Q1 and Q4. That completes my financial summary. I'll now pass it over to Scott Buchanan, our COO, to discuss our growth strategy. Scott?
Scott Buchanan: Thanks, Glen. As we head into 2024, we remain focused on our key growth opportunities. First, as Brandon previously mentioned, we aim to boost profitability by optimizing our kiosk footprint by relocating our kiosks to high traffic locations, which effectively reduces expenses while increasing transaction volume. This effort was significant in 2023 and will likely slow in 2024 as we have removed the vast majority of our underperforming kiosks. 2024 will be a theme of footprint growth compared to 2023 which was a year more focused on footprint consolidation and optimizing profit margins. During 2023 we successfully optimized our footprint to drive adjusted EBITDA growth and we remain committed to additional operational enhancements to drive profitable growth going forward. These include improved vendor pricing, lowering special services costs, and optimizing customer markups. Also, the completion of our software conversion to BitAccess across our full Bitcoin ATM fleet during 2023 will eliminate previous annual software licensing fees and strengthen our competitive advantage. Second, we are actively pursuing additional licenses to expand our access points for customers. During the fourth quarter, we expanded our BDCheckout program across a variety of convenience store partners through our ongoing partnership with our payment processing provider. New York state remains a large potential growth opportunity for our kiosk. And we hope to have a resolution on our efforts to secure a license to operate in the state during the second quarter. We believe that if our New York license is granted, our opportunity for expansion could be even larger than some of our largest current states, such as Texas and Florida. Lastly, we'll be placing additional focus on the franchise program. We are very excited about our partnership with Sopris Capital and we are seeing significant interest from other investors joining this program as well. We see this program as a powerful pathway for us to further enhance our margin profile, while also reducing the need for capital expenditures on our kiosk fleet. While our focus is currently within North America, where approximately 92% of BTMs globally are located, we believe the growing adoption of cryptocurrency as a legal form of payment will offer us an opportunity to establish a presence outside of North America over time. In summary, we delivered strong results this year and are well positioned heading into 2024 to continue our momentum and execute on our growth strategy. With that, we are now happy to take your questions. Operator?
Operator: The floor is now open for your questions. [Operator Instructions] Your first question comes from the line of Mike Colonnese from H.C. Wainwright. Your line is now open.
Mike Colonnese: Hi. Good morning, guys, and thank you for taking my questions today. Just a couple for me. First, you're guiding to 8,000 installed kiosks by the end of this year, which is really nice growth. So how should we think about the cadence of these deployments as we look out through the balance of the year? And I just had 1 follow-up to that. Thanks.
Brandon Mintz: Thanks, Mike, for your question. And good morning. This is Brandon. So, as you guys might have noticed on Coin ATM Radar, which is the primary listing directory for Bitcoin ATMs. As of today, we're already at 7,375 kiosks. So on our last earnings call, the big focus was how many kiosks we have in our warehouse and in transit that we're planning to install. And as you can see, pretty much all of those are already installed as we predicted. And I would say that, so far in the year we're looking ahead of schedule. Those sales reps that we've hired have been ramping up well. Obviously, we signed the retailer with 940 stores. So that put us a little bit ahead of what we were originally looking at.
Mike Colonnese: Got it. Thanks for that. And just as a follow-up, if you could just remind us of the revenue per kiosk from a fully matured install kiosk right now, and then what the revenue ramp looks like for one of these newly installed kiosks that are just coming online.
Brandon Mintz: Okay. Scott, do you have the number for the Q4 average for the quarter in front of you? I haven't done the division in front of me to have it on a per- kiosk basis for Q4.
Scott Buchanan: No, I mean, I haven't done the math right in front of me either, but it's similar to Q3's decline some, just as the top line revenue has. So there's still that seasonality to it, Mike. But generally, it's not that different from what we've seen in prior years. We should see a ramp up in those kiosks as we head into Q2, which is a much stronger quarter for us historically than Q1.
Mike Colonnese: Got it. And then on some of these newly installed kiosks, how should we think about the ramp up in those as we look out over the course of the year?
Brandon Mintz: I can comment on that, Mike. So just some perspective for everyone on call. We removed about 900 kiosks if we include Q1, including in that number. So over the past two quarters, Q4 and Q1, we will have removed around 900. And to finish out Q1, we will have installed somewhere around a little over $1,600. Now, when we remove a kiosk, we believe it's going to perform better at a new location, but we do have a decline in revenue early on because those kiosks that we're removing are doing some revenue. Maybe a couple thousand dollars a kiosk, but it's not enough for it to be worth us keeping it installed, because the ROI isn't great. So we remove that kiosk and we go down to no revenue on that kiosk. It's in transit, let's say for about six weeks. And then once we install it in a new location, it takes about six weeks to get where it was before we removed it and then it starts exceeding the previous levels and growing and that's why removing and relocating kiosks are so worth it for us. So we do expect with all of the new deployments that we've had, brand new machines and all the removals, relocations, and therefore installs, that the Q1 average per kiosk will be lower. Now we believe this is a temporary thing as we see the seasonality increase for sales per kiosk over the course of the year. But one thing to point out, it will probably be a question that's coming right after this, but one thing to point out is, the SB 401 bill in California that limited our transaction size to $1,000 per customer per day has had a significant impact on us in California. Now if you include that impact across the board, you're probably going to see in the near future, unless we can change something in California, which we're working on, a lower average per kiosk because it's dragging down the average everywhere else as well. So that combined with the relocations and new installs will bring it down until we see those kiosks ramp up more. But if we continue to grow rapidly and if we hit 8,000 kiosks early, there's a greater influx of kiosks that are brand new than expected, and more and more kiosks are continuing to ramp up over time. Now to give you a little bit more perspective on California, in Q1, we're expecting around a $13 million to $15 million revenue decline versus Q4 of last year, just from California alone.
Mike Colonnese: Got it. Super helpful color…
Scott Buchanan: Just to clarify, I think you meant Q1 of last year is where that number is comparison to.
Brandon Mintz: Sorry, yep. It was a quarter-over-quarter number. That's correct, Scott. Now, we're working with legislators in California. We have lobbyists right now. It's looking positive in terms of being able to get changes in the door with the House and Senate and in this legislative session to make these changes. In California these legislators were trying to protect consumers and ultimately they weren't really aware of the impact that it would have on Bitcoin ATM operators in a negative way. And now that they understand the negative impact it's had in terms of our revenues and our ability to be profitable enough to have the staff and all these protections in place, they're being more mindful of making a change. However, nothing is confirmed yet. But the legislative session in California is ending typically in early October. So we don't expect a change probably, if there is going to be one, probably until Q4. Mike, any further questions?
Operator: Our next question comes from the line of Hal Goetsch with B. Riley Securities. Your line is now open.
Hal Goetsch: Thank you guys. My question is on the sales force. I think you previously said you expected 100 to 200 per month coming from the sales force. I think on the call today you said you expected 100. I wonder if that's a change or just -- just said it differently. That's my first question.
Brandon Mintz: Hey, Hal, it's Brandon. So to answer that question, in our previous press release we said 100 to 200. I think today you heard over 100. Now we expect the sales reps to ramp up over time. Obviously, when someone is new in a job, they don't have all the relationships to sign a bunch of retailers early on. It's looking like a five to six month ramp time for them to ultimately get up to that level. But as I said to Mike, we are ahead of schedule across the board on signing retailers this year. A big part of that was the large retailer deal we announced for 940 locations earlier this year. And these sales reps are not the only salespeople we have. The team that signed new locations, if you include our account managers, is around maybe 18 to 20 people. And so, the existing salespeople we already have are doing really well also. So I wanted to point that out for you.
Hal Goetsch: Okay. And could you give us an idea on the cash cost? We know there's like a slow ramp. Like you're starting from a dead stop, shows up in a store, bills over time. But like you said in the call, the cash cost of deploying that, the logistics cost of that is about what range per machine? I know every market is different, there's different geographies, but -- different densities, but what can we expect on just the startup cost, it's kind of a build out cost almost per machine?
Brandon Mintz: Right. Yes, there's a lot of different scenarios where it varies, but you're asking about the cost of de-install, ship it to the new location, and reinstall it?
Hal Goetsch: Yeah, reinstall and get it up and running, and then you walk away. That's a cost. It's like pre-opening. If you're a retailer, it's called pre-opening expense in the retail world. It's like cash -- money you've got to spend before you can even do $1 revenue.
Brandon Mintz: Well, I would say there's two common scenarios. One is a scenario where we're relocating one of our existing kiosks. Now that can vary quite a bit because if we're relocating it in the same market, the costs are a lot less. But generally we're looking at somewhere between $900 and $1,700. Now part of the reason why the range is so high too is, some of those kiosks go through a very minor refurb process which is mostly aesthetics and a testing process just to make sure when we reinstall it, everything is 100% functional. So some of these kiosks we send to a warehouse for minor refurb if they're on the older side. Now a brand new kiosk that we get from the manufacturer, and one example of that is that 500 kiosk order we placed earlier this year, which in [Mega] (ph), it's not as expensive because it's shipping straight from the manufacturer to the location. It doesn't need any refurb. It doesn't have to be de-installed. Now typically there, we're looking at between shipping and the install cost around $800.
Hal Goetsch: Okay. So -- Okay. And then last question for me was just on California. Is it basically that the high -- the daily rate was reduced to $1,000, is that right? And that is the bulk of what's curtailed activity in your system is transactions above $1,000 have basically gone down to $1,000 or moved elsewhere. Are transaction counts still comparable and just smaller? Or is it like a combination of the rule changes hit bought price per transaction and revenue per transaction and transactions. It's kind of a mix.
Brandon Mintz: It's a combination of both transaction [indiscernible] declined as well. Obviously, if somebody were to purchase $5,000, they would have to come back 5 times, could be five days in a row. And I think the inconvenience that that has caused allows people to have the time to look around for more options to buy cryptocurrencies. So we have seen a decline there and then, of course, on the total transaction size as well, it really brings down our average transaction size by having that cap. Because the median transaction size, which has stayed pretty steady the last few quarters at $200, is a lot lower than our average.
Scott Buchanan - COO: Just to add on to Brandon's answer, the other thing I'd add there is, we've also seen that -- as you guys are aware, there's dozens of other operators of Bitcoin ATMs out there, and many of them much smaller. And we've seen a lot of these operators aren't complying with the new requirements in California. And so, if we're complying and others aren't, it's easier for customers that wanted to buy more than $1,000 to just go across the street and go to a noncompliant operator, where they can still conduct the transactions that they want to conduct. And so that's making it especially hard in California, and that's part of what we're working through with the legislators there.
Brandon Mintz: Okay. Yes, that's part of the unintended consequences of the California bill. They're going to assume everyone is going to comply. And there's operators not complying and customers that go to a Bitcoin Depot ATM if they go to one of those other operators and they can put in $15,000, $20,000, $30,000 in one transaction, we likely won't see them again. So we're trying to work with California legislators in terms of changing the bill as it is, but also in terms of what enforcement they're going to do to make sure there's an equal playing field.
Hal Goetsch: Yes. The last question is on New York. You think it's a Q2 event, we're almost in Q2. So can you just share a little more color on the confidence that this will happen in the next 95 days or 96 days or so? And maybe some of -- why you have that, maybe that kind of confidence, that's kind of a high hit rate kind of thing to be disclosed to us. And thank you on that. That's my last question. Thanks.
Brandon Mintz: Yeah, just to add a little bit more color there. Our board and our executive team just underwent some officer vetting, which we've been told is the last step before the application goes to committee for either approval or denial. We will get a little bit more information probably by the end of this week if the officer vetting is complete. We don't have a specific timeline on when that committee will meet, how often they meet. So it's still looking like something that we could have an answer on by the end of Q2. We just don't know if this is an April thing or if this is a June thing at this time until we have more information on when this committee will meet.
Hal Goetsch: All right. Terrific. Thanks.
Operator: [Operator Instructions] Our next question comes from the line of Pat McCann with Noble Capital Markets. Your line is now open.
Patrick McCann: Hey, thanks for taking my question. Really quickly, I just wanted to follow-up on the most recent question about New York. When it comes to getting the answer on the license, what would be -- how quickly would the operations begin, at whatever point that you do get that answer, and if it's positive, how quickly does it move forward from there?
Brandon Mintz : Great question, Pat. This is Brandon. We have already been lining up things on the sales side for New York regardless. We do have an internal sales team, but part of the reason why things have been moving so quickly, and we've had so much success in signing new stores on the sales side as well is, we do have a team of third parties that help us acquire locations. These are largely ATM companies and other types of distributors that distribute convenience store products, snacks, drinks, etc. And we have quite a few of those partners that operate in New York. Combined the relationships that they have are a few thousand locations. There are also some retailers that we already work with and retailers we are in active conversations with that have a footprint in New York that we could expand to pretty easily on the existing retailer side in terms of just an amendment on the contract to add those additional locations in. So if we were to get our application approved for the BIT license, I would imagine that we could have machines starting to be installed about two months after that approval comes in. And then a couple of months after that, I think there would be kind of a hockey stick lamp up in those installs. We've said before, if New York were to get approved, that there is potential for easily 500 kiosks from Bitcoin Depot and the state within a year to be installed. And currently in New York we're not aware of any other physical Bitcoin ATMs being installed or any other active Bitcoin ATM companies that have a license. So, it's a pretty wide open playing field with essentially no competition on the physical Bitcoin ATM side.
Patrick McCann: Got you. Well, that actually leads well into my next question, which is just on the competitive landscape. And I think you mentioned earlier about a decline in the number of kiosks out there. Could you just talk a little bit about how the competitive landscape is looking? And I'm sure it can vary depending on the state and whatnot as you mentioned. But could you just kind of give an overview of how things are shaping up there?
Scott Buchanan: Brandon, I don't know if you're on mute.
Brandon Mintz: Sorry, guys. Great question, because last year there was a lot of changes in terms of the total Bitcoin ATMs in the US market. For example, the peak in terms of number of Bitcoin ATMs was in the fall of 2022. And you guys can verify on Coin ATM Radar, but I believe from memory, it was about 34,000 was the peak. And then due to a couple major operators, either going out of business or going bankrupt early last year and some smaller operators disappearing from Coin ATM Radar, that number declined quite a bit. We believe it was more around the 24,000 kiosk range was probably the low that we hit in the spring of 2023. And Coin ATM Radar does not really reflect that because they're relying on data being fed from operators. So there was a big reduction downward and then over the past year there has been a lot of growth upwards since that low point. Currently today the US has 30,624 Bitcoin ATMs installed according to Coin ATM Radar. We haven't really seen new competitive threats from any other operators. I mean, other operators have grown, but it doesn't seem to be impacting our ability to continue to grow ourselves and insane retailers.
Patrick McCann: Got you. And then if I could ask one last question, just about the margins, the improvement in the margins over the last year. Could you talk a little bit about the fees you're charging and how those dynamics play into the margins and kind of what's driving the gross margin improvement this past quarter?
Brandon Mintz: Yes. Well, in 2023 we raised our margin, our spread on what we charge at the beginning of the year. We've typically done that every year since the company started. We've seen over the past couple of years pretty much every other Bitcoin ATM operator that's large and we can track, then raise their margins similarly to us as it's just become more expensive to do business. We all have large compliance teams, marketing teams, operations teams, since we have all of this equipment. So that is part of the improvement, but we've also done better in terms of our [armored] (ph) costs and some of our operational expenses with our vendors. A lot of the vendors a little bit earlier on in COVID had to raise basically what they were paying their hourly employees quite a bit. And I think they got a little freaked out and maybe raised their expenses too much. And so, we've seen those come down over the past year as things have been getting to more of a norm post-COVID and it's been easier for our vendors to find employees and such. So it's a combination of a lot of those factors.
Patrick McCann: Great. Thanks so much for the answers. That's all I have.
Brandon Mintz: One other point I wanted to make for you, Pat, is regarding the competitive landscape. So we looked back at Coin ATM Radar a year and a half ago, and there is about a 20% reduction in the number of Bitcoin ATM operators in the US. We think a lot of those were very small and weren't noticeable, but it's helping us display the value in our franchise program, because as it gets more expensive to operate this business with a smaller number of kiosks, someone could potentially join our franchise program and not have to run the business and make the same, if not more money just due to our operational scale and efficiencies. So that's why we really wanted to point out the franchise program this quarter. And we're very excited about everyone we're talking to about that. We have a lot of interest. We think it's going to have pretty noticeable growth over the next few months.
Operator: Our next question comes from the line of Mike Grondahl with Northland Securities. Your line is now open.
Mike Grondahl: Hey, guys. Just digging into 4Q revenue a little bit more. When you guys gave guidance November 13th, the midpoint was $715 million for the year and you ended up doing $689 million. What did you observe different? Like what came in short?
Scott Buchanan: Yes, Good question, Mike. A couple factors. I mean we removed way more kiosks than we thought we would in Q4 as one of the biggest drivers, right? So we removed over 500 kiosks in Q4, which is the most we've ever done. And we did that, as Brandon talked about, because we expect it's going to be the right decision long-term as we reinstall those and get better performance per location. But that did cause revenue to decline. And then also we saw a lot of installs from competitors in Q4 as well. And so, Brandon just talked about how from Q1, 2023 to Q1, 2024, there's been about a 25% increase in the number of kiosks in operations in the US. And so, that also was much higher installation rate in the past six months or so than we would have expected. And so, that increased competition also affected volumes. So let's say those are two of the biggest factors that caused revenue in Q4 to be lower than we originally would have anticipated.
Mike Grondahl: Got it. And then just making sure I'm understanding 1Q, basically the year-over-year differences you'd call out less kiosk and the California impact. That's why Q1 is coming in $137 million, $138 million, those two reasons?
Scott Buchanan: Yes, those are the two biggest reasons. We've seen -- it's just also that extreme seasonality, right? So like within Q1, March is already substantially better than January and February were. And so, we're already starting to see that improvement going into Q2. But yes, the California issue is the biggest driver and the lower number of kiosks, but specifically how many kiosks are brand new heading into Q1 as well. Because we installed 550 in Q4, so those are all pretty new. Those are the biggest factors, yes, about Q1.
Mike Grondahl: Got it.
Brandon Mintz: One way to also look at it is, if you look at Q4 year-over-year, we had a 3% decline in terms of the number of active kiosks, but only a 1% drop in revenue. So you can kind of look at it as a slight improvement year-over-year.
Mike Grondahl: Got it. At a high level, guys, how are you feeling about 2024? I'm at $125 million of revenues. A couple other analysts are right there. How are you feeling about the whole year at this point?
Brandon Mintz: Well, obviously, we have you know the headwinds from California. We are hopeful though that we can make some changes there and maybe get some of that back at the end of the year. If not, they make it effective a few months later, it's still a positive thing. But we have so many exciting opportunities in front of us. We have the potential for New York. We're already ahead of schedule in terms of our installed kiosk count right now. And we're not even halfway installed with that large retailer we signed. I think outside of that large retailer we are also ahead of schedule in terms of our other locations we are signing up. We think this franchise program is going to grow as well, and that's going to add some good margin for us. And one thing about the franchise program is, we're not taking on costs of CapEx, so it's just pretty immediate profits being added to the business. And then we're also purchasing kiosks for less than we were in the past. There's other opportunities outside of just our manufacturer to purchase kiosks as well that we're evaluating for reduced prices. And then we're expanding into new geographies. One thing people might not have noticed before is, we didn't have any machines in Hawaii. We're growing there. It's not a huge state in terms of population. It is a brand new geography. We hired a sales rep in Vermont. That's a state that was virtually untouched by us and doesn't have a lot of competition because of the money transmitter licensing requirements. We're also evaluating Puerto Rico as well, which is another 2 million people on that island. And we're taking international expansion and those opportunities more seriously right now. We're actually narrowing down the next country that we're looking to expand into. And we don't have the specifics yet, but that could be a very, very large population compared to these other geographies that I mentioned and could potentially be even larger than New York. So I think combined with everything in front of us, with the headwinds we're facing, I think getting to around where you guys are on the analyst side in terms of EBITDA, I would say it would be really impressive with the headwinds from California, because we have a good chunk of revenue to make up to be able to get there, but with the opportunities in front of us we think it's possible.
Mike Grondahl: Fair enough. Okay. Thank you.
Operator: Our next question comes from the line of Michael Kupinski with Noble Capital Markets. Your line is now open.
Michael Kupinski: Thank you for taking my question. I just wanted to follow up because franchising seems like a huge opportunity. And I know you touched on it. I was wondering if you can provide maybe a little bit more color there about the competition for franchises in the space? What are your differentiating factors that you offer versus the competition? And then do you have thoughts on how fast you can grow the franchise business? Like maybe give us some, what are the limiting factors for instance? And then finally, what are the terms for the franchisees? And how are you getting the franchisees?
Brandon Mintz: Great question. So on the franchise program in terms of the competitive environment, we're really only aware of two other companies doing this, but one of them isn't very public about it. I think for us, the angle that we're focused on right now is not only contacting kiosk operators and ATM companies about joining the Bitcoin Depot franchise program versus operating a Bitcoin ATM fleet on their own, but we're also approaching high net worth individuals and family offices who seem to have quite a bit of interest in this, because it's the way to play crypto without necessarily being tied to the price. And then someone purchases the kiosk, they have the ability to get nice depreciation as well. So a lot of these family offices and high network individuals were really focused on Bitcoin mining a couple of years ago. And I think they really didn't realize how tied to the price it was. And they liked the depreciation and the passive income aspect of it. There were a lot of comparisons to rental real estate at that time. But I think this could be the new wave for those type of investors, because it offers more stability. You still get the depreciation. And of course, it's completely hands off. So typically, if someone is buying the machine and they may put up some float capital for us to run the machine. And we are making about 30% to 50% of the profit. And we are doing either a profit share or revenue share depending on the franchisee. But bottom line, it comes out to about 30% to 50% without having to buy the kiosks, incurring interest if we were to finance those kiosks. And some of the franchisees are also bringing locations to the table where they were existing, let's say, ATM operator, and they have a bunch of relationships with locations where they have their cash ATMs. So it's another way for us to expand geographies as well. So there's a number of benefits. If you guys have followed the cash ATM companies over the last 15 years, this is really how they evolved as well, where they operated a fleet of their own ATMs, and then they would also provide processing and other services and models to other operators. And it was because they could add incremental profitability without having to take on the risk of purchasing a lot more hardware.
Michael Kupinski: Terrific. Thanks for the call. That's all I have. Thank you.
Operator: At this time, this concludes our question-and-answer session. I'd now like to turn the call back over to Brandon Mintz.
Brandon Mintz: Thanks everyone for joining the call today and for your interest in Bitcoin Depot. We look forward to providing you with further updates in the future and just working on bringing Bitcoin to the masses as always. Thanks everyone.
Operator: Thank you for joining us today for Bitcoin Depot's conference call. You may now disconnect.